Operator: Thank you for standing by. My name is Valerie, and I will be your conference operator today. Welcome to the Canadian Tire Corporation's Earnings Call. All lines have been placed on mute to prevent any background noise. . Now, I will be passing along to Karen Keyes, Head of Investor Relations for Canadian Tire Corporation. Karen?
Karen Keyes: Thank you, Valerie. And good morning, everyone. Welcome to Canadian Tire Corporation's First Quarter 2022 Results conference call. With me today are Greg Hicks, President and CEO; Gregory Craig, Executive Vice President and CFO; and TJ Flood, President of Canadian Tire Retail.  Before we begin, I wanted to draw your attention to the earnings disclosure which is available on the website, and includes cautionary language about forward-looking statements, risks and uncertainties, which also apply to the discussion during today's conference call.  After our remarks, the team will be happy to take your questions. We will try and get in as many questions as possible, but we ask that you limit your time to one question plus a follow-up before cycling back into the queue.  And with that, I will turn the call over to Greg.
Greg Hicks: Thank you, Karen. Good morning and welcome, everyone. I'll start by saying that I'm very pleased with our results. We delivered a strong first quarter against what you'll recall was an exceptional Q1 last year.  Our consolidated comparable sales growth was significant at 6.4% and EPS was up an impressive 23% to CAD 3.03. And of course, we were pleased to announce a 25% increase to our quarterly dividend, which I will speak to in a few moments.  But before we get into the details of what drove our results, I want to provide an update on how we're making life better for our communities. As we announced at our Investor Day in March, our brand purpose is that we're here to make life in Canada better. And that includes bolstering our communities today and tomorrow.  One way we're doing this is by helping put kids on a path to a strong future through access to sport and recreation. In March, Jumpstart released its state of sport report through which we learned that there are now fewer options for kids to participate in sport and the options that are available are becoming increasingly more expensive. This is why Jumpstart continues to be so critical and remains firmly committed to helping kids return to sport and recreation.  I'm pleased to share that in total CAD 24.9 million was dispersed to nearly 1,700 community sport organizations through the Jumpstart Sport Relief Fund.  Now Jumpstart is shifting their focus from saving sport to building sport back through a recovery phase. And they're making good progress, with 33% more kids helped in Q1 of this year compared to the first quarter of 2021. The charity also remains on track to help its 3 millionth kid and start construction on seven new inclusive play spaces this year.  In addition to making life better in our communities, our brand purpose is about how we show up for our customers. At our Investor Day in March, we announced our Better Connected strategy, which is supported by five strategic pillars.  As a reminder, these pillars are customer, experience, product, community, and people and enablers. This morning, I'll provide color on our Q1 results and an update on some of the progress we're making on our Better Connected strategy, starting with the customer.  As mentioned at Investor day, we are creating valuable relationships through the power of the Triangle. Simply put, our Triangle Rewards members drove our results in the quarter, with loyalty sales up 13% compared to last year.  As you'll recall from Susan O'Brien's presentation at Investor day, we are focused on both new member acquisition and member engagement. In terms of new member acquisition, we acquired 400,000 new members in the quarter. More than 25% of these new members now have a credit card and over 40% of them have registered for our one-on-one personalization program.  In terms of engaging existing members, of the 2.4 million new members we acquired in 2021, over 30% returned in Q1. And among those who had registered with us, 60% returned in the quarter. We remain focused on driving member cross shop across our ecosystem. And in Q1, over one-third of our members shopped at more than one banner, which is significantly higher than last year.  We know that Triangle Rewards has the power to drive incremental sales. One of the innovative ways we're testing this power, while increasing awareness of the Triangle program, is through something on our CTR website that we're calling an offer widget. The widget encourages customers to activate a Triangle Rewards offer by dynamically showing exactly how much bonus eCTM they'll earn if they purchase the product.  For example, imagine you're viewing the product details of a trampoline on the CTR website. Just below the Add to Cart button is an activate offer widget, showing that if you spend CAD 100, you'll earn 20 times the eCTM, which equates to saving an additional CAD 30 on the trampoline.  Testing offer widgets was very successful and drove a 17% lift in average order value compared to the control group. The team conducted a similar test on the Mark's website which drove a 34% increase in average spend per visitor. We're really excited about the opportunities here in terms of driving engagement and incremental sales.  The team is currently moving to put this widget into production across more categories on our website, and we'll continue to test and learn and identify new and innovative opportunities to meaningfully engage with our customers.  Creating valuable relationships with our customers requires that we have a deep understanding of our customers. In addition to the rich first-party data we can mine through our Triangle Rewards loyalty program, our Triangle credit card provides critical insights into our customers, their preferences and shopping behaviors.  In Q1 alone, over 55 million transactions were processed on our Triangle credit cards. These purchases spanned not only our banners, but thousands of merchants across Canada, giving us a first-hand account of how consumer behavior is evolving across the country. We monitor these trends closely to understand the demand for discretionary spending, competitive activity and any potential headwinds that we should prepare for. And here's what we learned about Triangle credit card customers this past quarter. They continue to invest heavily in their homes, with sales in home improvement and general home goods increasing by 67% over pre-pandemic levels. We can also see the Canadians are feeling more comfortable, returning to restaurants, spending nearly 50% more than they did in Q1 of 2019.  Travel-related purchases, both domestic and international, are approaching pre-pandemic levels, not quite surpassing 2019, but showing more signs of life than we've seen over the past 24 months. And Canadians seem more willing to spend on themselves relative to last year as personal services like grooming are up significantly relative to last year.  Creating valuable relationships with our customers requires us to make decisions based on what we know, not on what we think we know. And we know a lot about how we can make life better for our customers, thanks to the data.  A great example of this is our recent Gas+ promo, which we launched in March and will continue through the middle of June. Recognizing that more Canadians were getting back on the road while gas prices were at an all-time high, we added more value at the pump by doubling Triangle rewards when customers filled up at any gas station across Canada.  Traditionally, we would have evaluated the success of an offer like this based on market share of liters pumped. And although we're very happy to see more Canadians turning to us for gas, the promotion is about much more than this. It's about Triangle member acquisition, the collection of first-party data, and most importantly, driving brand trust with Canadians.  Now, I'll provide an update on the progress we're making in the second pillar of our Better Connected strategy, which is experience. Recall that in Q1 of last year, many of our stores were closed for in-store shopping due to COVID-19 restrictions. What we saw in Q1 was a better reflection of customer choice in terms of how they're shopping across our banners. Many customers are returning to in-store shopping, which makes sense given our proximity, need-it-now categories and ability to provide trip assurance through our websites. Other customers are still choosing to shop with us online and ecommerce remains elevated compared to pre-pandemic levels.  As I mentioned at Investor Day, the future belongs to retailers who can provide the most seamless experience across digital and physical channels. We are investing to provide a seamless end-to-end connection along the supply chain and to our customers across whichever channel they choose.  Q1, we continued our efforts to enhance our omnichannel experience to the deployment of in-store technology across the store network. This included the installation of electronic shelf labels, which, through our app, guide customers directly to products in our store.  We added new pickup lockers at 86 CTR stores, and we're also installing pickup lockers at our sport check stores, with 40 to be added this year. And we're continuing to improve our last mile delivery through strategic partnerships, with 90% of Sport Chek ecommerce customers to be serviced by DoorDash by the end of Q2.  We're also enhancing our omnichannel experience to the development of One Digital platform, which we refer to as ODP. ODP is our future-safe digital ecosystem that will serve as the new, single digital platform used across all CTC banners. It's a critical part of our evolution from a company made up of disconnected banners, brands and services to an enterprise-wide platform where all banners and channels collectively amplify and render each other more valuable, creating a truly differentiated customer experience.  After successfully piloting ODP in New Brunswick in Q1, we recently launched ODP nationally on canadiantire.ca. This is a major deliverable in our IT modernization agenda that will enable better online shopping experiences, while at the same time provide enhanced site stability and capacity through a cloud-based technology capability.  This launch is just the first step in the overall ODP plan. We plan to bring other sites, including Mark's, Sport Chek, Triangle and Party City on to the updated platform by the end of the year. The launch also enables us to transition into a new way of working, whereby we bring together dedicated, cross-functional digital squats to deliver continuous customer experience improvements and capabilities on regular three-week cycles.  I want to thank John Koryl, Rex Lee and their teams for their two years of incredible commitment and dedication to driving outcomes. This is a major delivery milestone for CTC.  Moving on to the progress we're making in the third pillar of our Better Connected strategy, which is product. Q1 reinforced the fact that our ability to make life in Canada better is not weather dependent. Although we didn't have the warm weather we had last year in Q1, we made gains in other categories which speaks to the strength of our highly relevant, unique, multi-category assortment across our banners. At CTR, growth in the quarter was led by automotive as Canadians began driving more. As kilometers driven continues to increase, so too does the need for auto repair and maintenance. Discretionary spending in this category continues to grow, with oil, lighting and oil change accessories all up. Combine this with the fact that new car sales are down 12% and we see considerable tailwinds in the automotive category.  Mark's continued its momentum from a record 2021, achieving growth across all categories in national and owned brands. Sport Chek delivered its strongest Q1 on record, with comparable store sales up significantly as families returned to organized sport, namely hockey as well as skiing.  Traditionally, Q1 is a lighter quarter for these banners. This quarter, however, both businesses contributed significantly to the tremendous year-over-year improvement in the profitability of our retail segment.  As you may have seen just a few weeks ago, we launched our Forward with Design apparel line in all Sport Chek and Sports Experts stores across the country, as well as on our ecommerce channels.  As a reminder, this brand is designed and developed in-house at CTC and was approximately 900 days in the making from initial concept discussion to full brand launch. And let me tell you, the customer response has been extremely positive. Within the first two weeks of the launch, Forward with Design surpassed CAD 1.5 million in sales.  But this is just part of a larger apparel story at CTC. In 2021, between Mark's, Sport Chek, Sports Experts and CTR, our total CTC annual business in the apparel and footwear category was a staggering CAD 3.25 billion.  We aren't just an apparel company. We're an incredibly competitive apparel company that can run a successful house of owned and national brands. Because we understand Canadian customers and we curate and design apparel for them to make their lives better. And it's working.  Finally, before I turn it over to Gregory, I want to take a moment to talk about capital allocation. At Investor Day, we committed to continuing to improve returns to shareholders, ensuring that shareholders would benefit from the performance of the business. This commitment, built on our impressive track record. We have returned CAD 4.8 billion to shareholders over the past 10 years, including more than CAD 3 billion through our share buyback program. We also recommitted to our dividend and to targeting a longer term payout ratio between 30% and 40% of annual earnings.  Our strong growth in 2021 continued through Q1, reinforcing our confidence in our outlook. As mentioned earlier this morning, we announced an increase in the quarterly dividend. Effective in the September payment, the dividend amount will increase 25% from the quarterly run rate of CAD 1.30, which we announced previously, to CAD 1.625 per share. At our current share price, this equates to a dividend yield north of 3.5%, based on an annualized dividend of CAD 6.50, making us one of the most attractive dividend stocks in the sector.  And we want to be clear. This is not a change in our normal cadence. But quite simply what we know to be the right thing to do for our shareholders, considering the exceptional year we had in 2021. We will revisit our dividend for 2023 as well as buyback intentions as part of the annual review and update our capital allocation plans in November.  And with that, I'll pass the call over to Gregory.
Gregory Craig : Thanks, Greg. And good morning, everyone. Q1 was an exceptional quarter on a number of fronts. And let me start off with the highlights.  First off, as Greg has already mentioned, diluted EPS was up 23% to CAD 3.03, which was off a strong quarter in Q1 2021 and up 19% on a normalized basis. The earnings growth this quarter, with normalized IBT up 13%, came to us through a strong retail top line, with comparable sales up 6% against a 19% increase a year ago, all of which contributed to a 36% increase in normalized retail IBT.  Financial Services delivered earnings only slightly below last year, despite cycling last year's ECL allowance release of approximately CAD 20 million.  Finally, as we highlighted at our Investor Day, retail ROIC continues to be a key metric for us in evaluating the efficiency of our capital allocation decisions. We were pleased to see retail ROIC continue to increase to 13.8% on a trailing 12-month basis, reflecting another consecutive quarter of strong retail earnings.  So with that, let's dive right into the retail business results. As I usually do, I will focus most of my comments this morning on the results excluding petroleum. Although it is worth calling out, it was a strong top line quarter for our petroleum business. As people return to driving, comparable site volume growth was up 9% and increasing prices drove revenue up 45%.  Turning to the comparable sales growth, excluding petroleum, the 6% growth we saw came to us across all our retail banners. Growth in Ontario was strong against last year, particularly in January into February when COVID-related restrictions were in place. We also saw a higher mix of in-store shopping in every banner and lower ecommerce penetration due to last year's closures.  Let me share some highlights for each of the banners starting with CTR. CTR comp sales were up 4.5% in the quarter. Close to 70% of the categories grew in Q1 and over 40% grew double-digits.  Growth this year was in categories, which are more representative of typical seasonal buying patterns. Automotive was the strongest performing division this quarter, up over 15%.  At the category level, within automotive, winter auto maintenance categories like tires, windshield washer fluid and wipers drove growth. Demand for key winter seasonal, need-it-now and living products, like ice melt, snowblowers, winter heating and humidifiers also drove increased sales compared to last year.  Within playing, hockey was a standout again this quarter, with kids continuing to return to organized sports, which benefited both CTR, which was up over 30%, as well as Pro Hockey Life, which was up over 90% in the quarter. We were well stocked in seasonal categories that benefited from last year's pull-forward as a result of an early spring, such as patio furniture and bikes.  And while sales in these categories remained well above 2019 levels, we did see some declines in these seasonal categories compared to 2021 as the cold weather hung on to the end of the quarter in most parts of the country.  The late start to spring this year allowed us to exit the quarter with normal fall and winter seasonal inventory levels, and our stores remain well stocked to capture demand for spring and summer products over the coming months.  The rebuilding of dealer inventory followed a strong spring summer season last year, and the continued replenishment of non-seasonal categories this year drove revenue growth in the quarter. As a result, CTR revenue growth of 13.4% surpassed sales of 4.5% in the quarter.  As we've discussed previously, over the long term, the growth patterns for revenue and sales tend to converge. And if we consider the pattern on a rolling 12-month basis, the growth in the two metrics are within 150 basis points of each other.  At Sport Chek, comparable sales were up 10%, while total sales were up 4% with the difference due to the closure of National Sports in Q3 of 2021. Over 70% of the categories grew, but the standouts were hockey where sales were almost double last year, as well as in winter apparel, skis and snowboards as Canadians got outside to enjoy winter in the arenas and on the ski slopes.  Having a fully open store network helped in Ontario, as did well stocked stores. Our strong vendor relationships and supply chain capabilities ensured we had good breath of inventory in the right categories.  We also continue to benefit from improvements we're making around inventory and promo management, selling a better mix of regular priced product, which is driving better productivity and profitability.  Now turning to Mark's, which delivered impressive results in Q1. Comparable sales were up 17% with 80% of Mark's categories growing double digit, and industrial footwear, workwear and jeans being the strongest growth drivers this quarter.  The team has remained focused on redefining and broadening the appeal of the Mark's brand. They continue to build a broader depth of national brand assortment, as well as introducing new home brand SKUs such as Helly Hansen and new categories like ladies swimwear to drive broader sales to existing customers, as well as attracting new customers to stores. In this regard, we are excited to be introducing a new kids line under our WindRiver brand to some of our stores over the coming quarters.  Rolling out a new simplified store plan in around half of our stores since late last year is also paying back in terms of labor efficiency and improved customer satisfaction, while a focus on inventory management drove higher inventory turns in the quarter. Like the other banners, Helly Hansen also delivered broad-based growth. Revenue was up 24%, with sport, workwear and Musto all experiencing double-digit growth. Within sport, direct-to-consumer sales were particularly strong, up 42% compared to last year. Apart from Russia, where our operations remain temporarily paused, we saw growth across our geographies as we continue to proactively manage supply chain to get product to customers, with the USA and Canada seeing the strongest uptick in demand, followed by Europe.  Across CTC, own brand sales penetration was 36% in the quarter. While down slightly compared to last year, this was primarily attributable to mix due to the lower growth in the quarter for our seasonal categories like backyard living and cycling, which have higher own brands penetration.  We did see strong growth in CTR brands like MotoMaster and Certified, along with Sport Chek brands such as Ripzone, Woods and Sherwood.  Moving down the P&L. Let's look at margin. At the consolidated level, gross margin rate was lower with a higher mix of petroleum sales and the impact of higher net impairment, mainly due to a release of ECL allowance in Q1 2021 at Financial Services.  Retail gross margin dollars were up 12%, driven by strong growth and retail gross margin rate excluding petroleum was down only 14 basis points compared to a strong quarter last year despite the freight headwinds we had expected.  Across the banners, higher freight costs were mostly offset through improved product margins, targeted promotions and a higher mix of in-store sales. As we've discussed previously in quarterly calls, margin rates may fluctuate from quarter to quarter, but we remain pleased at the long term trends in margin rates and how the teams are taking action to offset headwinds.  Now, turning to OpEx. Our normalized consolidated OpEx ratio as percentage of revenue came in at 26.7%, favorable by 44 basis points compared to 2021, with higher revenue and savings from our operational efficiency program, offsetting some volume related supply chain increases, as well as higher IT and marketing spend within retail. As was the case last quarter, higher SG&A expenses within Financial Services were mainly due to higher credit card acquisition costs and related marketing spend.  Strategic and sustaining investments across the business drove higher IT costs, while retail marketing spend was up mainly in relation to the Olympics sponsorship and the CTC 100 anniversary campaigns, as well as a more normalized level of marketing and promotional activity across the business.  We continued to move significantly higher volume of goods in the first quarter through our supply chain and continue to incur costs related to using more third-party logistics and storage at origin facilities near offshore ports, as we increase purchase order lead times and commit early to orders to increase our ability to meet customer demand.  Finally, we continue to optimize our operational leverage and have a clear line of sight to the CAD 100 million plus in run rate operational efficiency savings we expect to achieve this year.  Turning to Financial Services, where we had strong operational metrics and where we saw pickup in customer activity in Q1. Credit card sales across our CTC banners increased 21%, while total card sales grew 26% compared to 2021.  Active accounts were up 8% as we successfully prioritized acquisition across all channels, and upselling some of our most engaged base loyalty customers. Increases in credit card sales and active accounts partially offset by higher payments drove average receivables up by 11.8%. As a result of increased customer activity, as expected, we saw the PD2+ rate increase this year from 2% to 2.4%.  Overall, we remain pleased with how we're balancing growth and the level of risk in the portfolio, with the level of risks still being well below pre-pandemic levels. The allowance rate came in at 13.3% in the quarter, down 166 basis points from last year, and with our target range of 11.5% to 13.5%.   decreased again this quarter, down 127 basis points to 4% and earnings were close to flat despite the release in ECL allowance in Q1 last year. Moving now to operating capital spend. As we set out at Investor day, we expect operating capital spend in 2022 to be in the range of CAD 825 million to CAD 875 million as we focus on enhancing the omnichannel customer experience through investments in new and refreshed CTR stores and further strengthening our fulfillment infrastructure.  In Q1, operating capital spend was $142 million. This was up $56 million from last year when much of Ontario and Quebec were in lockdown and includes investments in our distribution center capacity, in the GTA, and Montreal areas as well store investments.  We discussed the importance of investing in the business at our Investor Day, while recognizing that returning capital to our shareholders is an important part to a balanced approach for capital allocation.  We are pleased to announce a 25 increase in our dividend payable in September. And we are continuing to execute on our $400 million share repurchase program, with over 225 million shares purchased by the end of the quarter.  All in all, it was a great quarter. And I want to thank everyone, the employees, our dealers who are all there for our customers and shareholders who invest in us as we build an even stronger Canadian Tire that continues to meet the needs of Canadians.  We're delighted to have had chance at our recent Investor Day to set out our strategy and clear financial aspirations for the years ahead. Our focus continues to be executing on those priorities.  With that, I'd like to hand it over Greg for his closing remarks.
Greg Hicks : Thanks, Gregory. Overall, we're very pleased with our results in Q1 as well as our continued momentum. We remain confident in our ability to deliver on the financial aspirations we set out at Investor day.  Before I close, I want to give you some insight into what we're seeing so far in Q2. At our bank, we remain focused on growing our base of credit card holders and our receivables and we'll continue to invest to bring in the right mix of card holders for the longer term.  Across our retail business, we continue to see healthy demand signals from the customer, even against the strong comps of last year when we benefited from pent up demand as restrictions finally eased and we achieved our strongest quarter ever in terms of ecommerce penetration. There's no question we continue to operate in an environment where inflation is real, and global supply chains continue to be challenged.  I want to first address how China's zero COVID policy is impacting our supply chain as I know that's a topic on many people's minds. It's important to note that the ports in Shanghai and Beijing are not shut down. And the reality is that supply chains out of China are functioning better than they were a year ago. And as I've mentioned in recent quarters, we've secured sufficient shipping capacity and flexibility through our existing contractual arrangements and the use of a dedicated charter to ensure we can transport our goods.  Although we're not immune to the global supply chain challenges, our previous and continued investments in this critical capability have enabled us to weather the storm better than most.  To ensure we have the inventory we need, we have continued to adjust our lead times, ordering early for spring and summer, and as a result, our quarter-end inventory sits above that of last year.  To remain well positioned to continue to meeting customer demand throughout 2022, we're now turning our attention to our fall and winter inventory to ensure delivery for those seasons. And while we've yet to see it, we're mindful that an environment where consumers may be looking to trade down, our use of demand elasticity drivers and our Triangular Rewards program remain critical to delivering choice and value to customers.  In this environment, the fact that we can remain well stocked with a wide range of products across price points, combined with our ability to provide real value through our Triangle Rewards loyalty program, is our differentiator, a differentiator that helps us fulfill the needs of all Canadians and ultimately drives our success.  At CTC, we know our purpose. We're here to make life in Canada better. We have a clear plan, the financial aspirations and the team required to make it happen. As I mentioned at Investor Day, we have a management team that understands the customer and has demonstrated we can execute in the most difficult times. Our results are a testament to this fact. And the industry is taking notice.  As you may have seen, not one, but two, members of our leadership team, our Chief Supply Chain Officer, Paul Draffin, and our Chief Brand and Customer Officer, Susan O'Brien, were recently recognized among the Global Mail's Report on Business 50 Best Executives. I'm pleased to see the team being recognized, but I'm certainly not surprised. Paul and Susan play a critical role in our success and our growth and their leadership continues to make life in Canada better – for their teams, for our customers, for our communities and for our shareholders. On behalf of all of us at CTC, I want to thank and congratulate Paul and Susan.  And I'll now pass it over to the operator to open it up for questions.
Operator: . Our first question is from Irene Nattel with RBC Capital Markets. 
Irene Nattel: Following up on your last commentary, obviously, product cost inflation is a big topic, consumer ability to spend. Heard what you said that it's not showing up in consumer spending yet, but can you talk about where you are with respect to pricing to pass through your cost increases? And your sort of your offering and your inventory, should consumers get squeezed as we move through the fall and winter and start trading down?
Greg Hicks: It's Greg. Maybe I'll take that one. And I think what you're getting at is really our ability to just manage going forward if consumer spending starts to go down a little bit. So, I love that question. Because we believe that we're better suited than we ever have been to manage going forward.  And it's all about the capability work that we've been doing for the last number of years, Irene. I'd start first with procurement. I've heard some of you recently participate on earnings calls with other large retailers who are just now setting up centralized procurement centers of excellence. And our central procurement group has been in place for the last number of years. And I can't imagine where we'd be in a decentralized environment with all the COGS inflation that we're seeing.  We have sophisticated product specifications for all levels of our assortment architecture. We have should cost modeling based on raw materials that we track over – I think it's 300 commodities and currencies. And we have a supporting workflow process that ensures oversight and controls on price inflation. So, we actively manage inflationary pressures with skilled resources and capabilities.  Then, once negotiated, we now have an enterprise-wide approach to supply chain. So the movement of goods in all banners benefits from our scale. So, I'd say this is kind of the back office value that sets us up well, but the customer facing demand drivers are all much more sophisticated as well. We're positioned with Triangle to narrow audiences that we've talked about before and drive relevance with offers. We have our buy now pay later product in all of our banners, stood up in all of our banners, our elasticity algorithms on what we call net promo return or NPR, which optimizes for the unit demand and total sales. They weren't existence in the last downturn. I think TJ talked about the fact that we feel good about the laddering in our assortment architecture with a broader choice spectrum available across the portfolio as good, better, best, and a great value driving own brands portfolio. So, we feel really good about all of that. We feel good about our assortment architecture in Chek and Mark's as well.  And then, I guess, lastly, Irene, I'd say that we have more leverage with our suppliers than we ever have. We've moved volume for our suppliers during an otherwise tough time. And we'd expect them to come knocking at our door if growth becomes more scarce. Our ability to engineer demand with our high/low programming across all banners has us being much more relevant for national brand businesses and important for manufacturers looking to cover overheads.  So I could go on, but all that to say we feel prepared to address any concerning shifts in spend behavior at a customer level.
Irene Nattel: Can you just talk about where you are from a gross margin perspective and your ability to pass through the ongoing cost increases?
TJ Flood: It's TJ. I can take that from a CTR perspective. As Gregory touched on, we feel really good about our performance from a management of margin standpoint, given all the inflation that we've been seeing. We been able to manage our margins despite the headwinds we're seeing in commodity costs and freight increases, and we've continued to leverage our capabilities here, whether it's our elasticity modeling or the customer data that we use to strike the right balance of managing margins and inspiring demand. As Greg pointed out, we feel we're getting better at this over time.  And then, when you look at what we've got from a Triangle Rewards perspective, it allows us to be a lot more efficient with our promotional offering and target our offers, so that we can manage margins. We're feeling very good about our ability to manage margins as we go forward here. And as we said a few times, we're always trying to balance that – strike that balance between managing margins and inspiring demand, and also not giving an inch on being priced competitively. And with all of the data we have at our disposal, we've never been more able to really understand the value consumers crave and to be able to expose them to that. So, we feel good about our capabilities in managing our margins as we go forward here.
Gregory Craig: It's Gregory. Let me just talk – similar comments on Mark's and at Chek. I think my prepared remarks, you get a sense of kind of how the team has been managing around – if you went back two years ago, you would have seen a lot more of a store being 20 off as an example. And the use of kind of targeted promotional offers is much more significant than it's been in the past. Sophistication has gone up significantly.  You've given me an opportunity to say this, so I'm going to take advantage of it again. I look at trends on a long term basis. And I think that's the way we look at this business. Any quarter, we can have a mix difference between automotive or a different banner that can cause some short-term fluctuation, if you will. But the long-term trends have been very strong. And I'm just really pleased with the work that teams, all the merchants and supply chain teams have done to really kind of sharpen the pencils and become better at managing in these times.
Operator: Our next question is from Mark Petrie with CIBC. 
Mark Petrie: I actually just want to ask a bigger picture question about Triangle and specifically monetizing that asset through new opportunities. Clearly, it's very unique and has a lot of value for you and your business. But hopefully, you can share some of your thinking about how that might evolve as a revenue and margin generator, be it immediate type business or other opportunities?
Greg Hicks: I think, Mark, we talked a little bit about this on the last call, maybe the call before that. We're very focused on integrating our existing banners into one enterprise-wide platform, as I talked about, even today. And we feel like we've still got a fair amount of work to do. We just integrated Party City and Pro Hockey Life, as an example, into the Triangle Rewards program where we're standing up digital audiences, we're feeding the data into our consumer data platform, so that we can automate more and more offers to provide value for customers.  And what we're attempting to do, Mark, is to develop more of an automated system that's run by AI and utilizes the vast amount of first party data that we have. So, connecting all of our banners into that system is our first step. And I think you've heard me talk about that. But we absolutely believe we have an emerging capability with an opportunity to monetize going forward. We have a small G&A investment right now in terms of a Triangle media services business. I'll stop short of kind of telling you what our competitive plans are, what our plans are there for competitive reasons. And quite frankly, we're going to let it evolve. But we all come back to the fact that we have a highly, highly differentiated asset. We think first-party data is going to become incredibly important going forward for retailers to win. So, it would stand to reason, as you point out, that we would have an opportunity to extend the capability beyond our existing business, but I wouldn't be thinking about it in your modeling as being anything big in the short term for us in terms of the material driver of our business.
Mark Petrie: I also just wanted to ask about Concept Connect. I'm wondering if you could just give us a bit more color in terms of the rollout plans to pay for that. And anything you can share about cost per store and forecasted sales lifts and expected returns or payback period. I know what you've shared about the Niagara Falls store, but just wondering if there's anything incremental you can share. 
TJ Flood: It's TJ. Maybe I'll take that one and appreciate the question because, as we laid out at Investor day, we have a retail concept that you referenced called Concept Connect that we plan to roll out to roughly 225 markets by the end of 2025. And we're making great progress. We are in the midst of launching our spring tranche right now, and our fall tranches will start kind of – we're looking to launch them in kind of a September-October timeframe. We've already opened five of them in the spring, including markets like Hamilton and Montreal. And we're excited that we're on track to launch two of our what we're describing as remarkable retail versions of Concept Connect, which kind of offer a little bit larger and augmented brand experience to showcase the best of what we have to offer.  So, our long term program with this – as we roll out Concept Connect is that we're looking to expand our square footage by 10% in the network, and we'll be able to enhance over 50% of the square footage in the network. And that'll allow us to impact the brand perception of over 60% of the population.  So, our real estate folks are really busy right now. The execution plan is very, very aggressive. And we're feeling very good about the early results in the stores that we have in markets. And we're going to be monitoring this very closely as we go forward. It's really going to help us change the perception and how we operate and customer experience from an omnichannel standpoint, really linking our digital assets with our in store shopping experience. So, we're really excited about it, and we're on track with the pace of rollout.
Operator: Our next question is from Luke Hannan with Canaccord Genuity. 
Luke Hannan: I wanted to focus on the automotive performance during the quarter, if I can. Really strong performance. But I wanted to dig in a little bit and figure out if you're noticing – what we've heard from others in the industry is that there is a bit of a labor shortage, they're finding it difficult to find technicians. And that's sort of inhibiting the amount of work that these service providers can do right now. Are you noticing anything like that on your end?
TJ Flood: It's TJ. I'll touch on that. Yes, our automotive business has been very resilient despite some of the headwinds that we've seen in the industry. We just experienced our seventh consecutive quarter of growth in what we really believe is the cornerstone business for us. And it led the charge, as Greg and Gregory outlined, in terms of our growth for CTR.  When it comes to kind of the labor side of things, obviously, when you look at labor in the marketplace right now, it is challenging. There are folks across the industry that are that are struggling to get labor. But our dealer network is very entrepreneurial and very aggressive at the local level with attracting and retaining talent. And they just do a great job at the local level. We're doing all that we can on our side, working closely with them on operating efficiency initiatives to try to kind of reduce our dependency on labor. But they've done a great job in managing it and managing our automotive business. Our service was up very strong in Q1. And we continue to believe that, as we go forward here, this is a business that we have a lot of tailwind behind us.  The fleet in Canada is aging, as Greg pointed out, with car sales being down and we see this as tailwind for us. So, you're going to see us make a lot of investments in automotive as we go forward here. And we see it as a big opportunity for us.
Luke Hannan: As my follow-up as well, sticking with automotive here, we've seen fuel prices spike quite a bit, of course, just given the commodity complex. And I guess intuitively, one would think that that would make folks a little bit more apprehensive to go out and drive when it's going to be costing them a little bit more. But, again, sort of what we've seen from industry data suggests that that's not necessarily the case. Are you noticing the same thing on your end? And what's your, I guess, inference for what exactly is driving that? Is that just pent-up demand? Or is there something else we should be thinking about?
Gregory Craig: I think as we look at the data right now and the context, as liters pumped in Q1 were up versus year ago, they still are lagging kind of pre-pandemic levels, all right? So, we're watching this very closely. You've got a couple of dynamics going on. People are starting to settle in with computing and getting back to a little bit of a new normal, but a little bit of – so there's probably a little bit of tailwind from that perspective. And then as you pointed out, the pricing provides a bit of a headwind, so we're watching it very closely. It's very dynamic, but we are seeing any increase in liters pumped. It's just we're not back to pre-pandemic levels overall.
Operator: Our next question is from Peter Sklar with BMO Capital Markets.
Peter Sklar: TJ, question for you. So you've talked about the categories, the very strong categories that have carried Canadian Tire banner. Like you called out, hockey, other winter sports, auto. I'm just wondering, as you see spring and summer unfold, what do you think are going to be the strong categories? Obviously, the winter categories are not going to be there. But do you see auto remaining strong because we're kind of out of the winter season. So nobody's buying winter blades? And just wondering like, what categories are going to carry the Canadian Tire banner through the next two seasons? 
TJ Flood: It's TJ. Maybe I'll give you a little bit of color there. I think Greg and Gregory said it well, the strength of our offering is in the diversity of what we offer, and its relevance to Canadians. And that's really what's been fueling our growth. So, yeah, 60% of categories in Q1 grow. And I think 40% of them grew through double digit.  As we look forward, here, we've had a late start to spring, but through what we're looking at, the demand signals are still pretty strong. So, we're going to watch it really closely as we go forward. It's very early in the season, right? If you look at a quarter basis, where we still have 65% of the season in front of us, and our seasons don't – they don't really correspond to – or line up exactly with quarters. So if you think about the full season, it even extends further than that. So, we're watching consumption patterns very closely. But we're liking the demand signals we're seeing. And obviously, with the weather this past week in Ontario and Quebec, it's starting to heat up. So, a lot of game to play, yes. But we're watching it closely and feeling good about the early demand signals we're seeing
Peter Sklar: Any categories you want to call out that you're looking, you think you might see particular strength?
TJ Flood: Yeah, I think you're going to see continued strength in some of our non-seasonal categories, actually. They've had a lot of strength in Q1 and into Q2. And I think your point about automotive is a good one. I think we've got some tailwind there. And we also feel like we're probably in better inventory position in a few categories as we go in in spring, particularly this year. So we're watching it all very closely. But those are a few that I've got my eyes on.
Peter Sklar: TJ, some of the categories that were particularly strong during COVID, we like to call the COVID categories, like the obvious ones people talk about with respect to Canadian Tire – bicycles and kitchen and outdoor furniture. Have those categories begun to soften yet?
TJ Flood: I think if you look at those categories on a relative basis versus pre-pandemic, they're still extraordinarily strong. And when you look at the late break to spring, it's actually remarkable the strength that they've been able to maintain as we kind of experienced March. We had snow throughout the whole country in March, so it's a very late break to spring relative to last year, but those categories have been quite resilient relative to the weather. And we're going to see how it plays out here over the next the next month or so, as the weather has been breaking. We're feeling quite good about the trajectory. 
Operator: Our last question is from Vishal Shreedhar with National Bank.
Vishal Shreedhar: Congrats on the continued strong performance. Wondering as management reflects on the performance that's delivered through the pandemic, if it can assess the degree to which its elevated performance relative to pre-pandemic is due to its own initiatives, the progress that it's been making, or is it due to consumer shift? And how much is due to consumer shifts associated with COVID-19? Or various stimulus measures associated with COVID-19?
Greg Hicks: It's Greg. I don't know, that's tough to handicap. It would be purely subjective. I think Gregory has used the phrase a few times that we're just punching every key on the keyboard internally. We're very focused on the top line. The top line is giving us leverage. We're focused on our cost structure. And we're seeing just absolutely fantastic work on our front lines to make it all come together and deliver through the pandemic and we move hopefully post pandemic here. Competitively, I think – I do believe that we've got – we just have a stronger capability set to be able to continue to take market share. I think when you look at the disappointing guidance and earning releases recently, especially in the large ecommerce sector, I think the results are being misinterpreted as consumer demand issues when the issue is supply chain. I really think that's critical for folks to understand.  If you're a reseller on one of these platforms, even a large one, relatively speaking, you just don't have the scale necessary to navigate what's happening in the supply chain. You don't have sophistication in your procurement group, like I talked to earlier. You don't track managed buy, hedge commodities for currencies, you're dealing at spot market freight rates, and what it's leading to is tremendously elevated retail pricing for marketplace offerings. Real problems with inventory availability and poor service levels for fulfillment.  And so, we're using all the capabilities that we've been talking about for 24 months to their fullest, and we're very focused on the supply chain and inventory right now. It's been the playbook for the last many quarters. It's going to continue to serve us well competitively going forward.  So, I would say from a competitive intensity standpoint, it's less intense from this competitive segment in the industry at this point in time. And we're benefiting from that. I'm not sure why we need to need to be painted with the same brush in terms of how the market thinks about us. Because I really do believe it requires a double click on what the two drivers of softness are in those businesses. But anyways, hopefully, that gives you a little bit of color in terms of how we're thinking about it, Vishal. We just really think we're standing up in front of the customer in a much more relevant and better way than we have been traditionally?
Vishal Shreedhar: Is there a metric that we can use to assess the strength of your supply chain capabilities? I'm thinking maybe if you can give us a sense of in-stock positions now versus 2019? Are they at levels that are comparable? Are they stable? Are they improving?
Greg Hicks: That one's hard too because when we look at it kind of in stock or traditional retail operating metrics, like hole counts and stores, et cetera, the reality over the course of the last 24 or 26 months is inventory scarcity has been what everybody's dealing with. And so, I think that's a trickier one for us.  Our total inventory right now is I think the best barometer around how bullish we're feeling about our business. We're carrying significantly more inventory on our balance sheet, the dealers are carrying more inventory on their balance sheets. And once we get into a more standard operating environment, I think, for sure, there'll be operating metrics with respect to variable cost as a percentage of sales, throughput  all those supply chain things will be important. But, right now, it's pretty difficult to get a handle on a relative in-stock prior to – or relative to pre-pandemic because it's just such a different environment from an inventory standpoint.
Vishal Shreedhar: And just to reiterate, management feels comfortable with what it's seeing into Q2. That's correct?
Greg Hicks: Yeah. I think we provided our color with respect to the fact that we're still seeing good demand signals from the customer. And I think TJ said it right. There's still a lot of game to play. But as of right now, we're feeling good about what we're seeing.
Operator: Thank you. There are no further questions registered at this time. I would like to turn the meeting back over to you, Greg.
Greg Hicks: Well, thank you for your questions and for joining us today. We look forward to speaking with you when we announce our Q2 results on August 11. In the meantime, stay well and enjoy the spring. Bye for now.
Operator: Thank you, everyone This concludes today's call. You may now disconnect.